Operator: Good day and welcome to the AZZ Inc. First Quarter of Fiscal Year 2021 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joe Dorame. Please go ahead.
Joe Dorame: Thanks Sarah. Good morning and thank you for joining us today to review the financial results of AZZ Inc. for the first quarter of fiscal year 2021 ended May 31st, 2020. Joining the call today are Tom Ferguson, Chief Executive Officer and Philip Schlom, Interim Chief Financial Officer. After the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. Please note there is a slide presentation for today's call, which can be found on AZZ's Investor Relations page under Financial Information at www.azz.com. Before we begin with prepared remarks, I'd like to remind everyone certain statements made by the management team of AZZ during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the Securities and Exchange Commission, including the annual report on Form 10-K for the fiscal year ended February 29, 2020. Those risks and uncertainties include, but are not limited to, changes in customer demand and response to products and services offered by the Company, including demand by the power generation markets, electrical transmission and distribution markets, the industrial markets and the metal coatings markets; prices and raw material costs, including zinc and natural gas, which are used in the hot dip galvanizing process; changes in political stability and economic conditions of the various markets that AZZ serves, foreign and domestic; customer-requested delays of shipments; acquisition opportunities; currency exchange rates; adequate financing and availability of experienced management and employees to implement the Company's growth strategies. In addition, AZZ's customers and its operations could potentially be adversely impacted by the ongoing COVID-19 pandemic. The Company can give no assurance that such forward-looking statements will prove to be correct. These statements are based on information as of the date hereof, and AZZ assumes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. With that, let me turn the call over to Tom Ferguson, Chief Executive Officer of AZZ. Tom?
Thomas Ferguson: Thanks Joe. Welcome to our first quarter fiscal 2021 earnings call. Thank you for joining us this morning. Let me first start by saying that COVID-19 is still very much front and center for all of us and was the single largest event affecting our Q1 results. Our top priorities at AZZ continue to be ensuring employee health and safety, while supporting our customers during these unprecedented times. As an essential infrastructure manufacturing company, all of our facilities were allowed to remain open and did so. I am extremely proud of the way our folks managed through this crisis during our first quarter and took care of each other and our customers during this pandemic. We are truly grateful for everyone's efforts that allowed us to continue safe operation of all of our plants worldwide. For the first quarter of fiscal 2021, total revenues contracted 26.2% versus the same quarter prior year, totalling $213 million with metal coatings revenue declining slightly 2.6% to $119 million and energy revenue declining 43.5% to $94 million. I will get into the details behind each segment's performance as we go along. We entered Q1 back in March with great enthusiasm just as the pandemic was beginning to reach our shores here in the U.S. By April when we announced record sales and strong adjusted earnings for fiscal 2020, we made the decision to suspend fiscal 2021 guidance and cited the uncertainty COVID was creating on both segments, metal coatings and energy. In particular we pointed out uncertainty in the spring refining turnaround season, business disruption associated with our high-voltage bus orders in China and overall weaker demand as customers implemented capital spending and social distancing guidelines. Normally, a strong quarter for us, our first quarter ended up being as - or perhaps even more challenging than we had imagined. Refiners shut down production, delayed both CapEx and maintenance spend and essentially took a pass on the spring turnaround season. International travel was restricted and businesses significantly slashed capital spending. As a result, our revenue declined 26% in the quarter, while net income slid to $5.5 million or $0.21 per diluted share. I wouldn't normally call at 2.6% reduction in our metal coatings business a bright spot. However with the backdrop of this challenging market, I'd say we performed much better than many probably expected. Sales totalled $119 million for the quarter as compared to $122 million for the same quarter a year ago. Our galvanizing team, in particular was able to benefit from lower zinc costs, while maintaining above-average industry pricing by offering outstanding quality and outstanding customer service. While overall margins in the segment declined 300 basis points to 21.1%, galvanizing actually finished above 23%, pretty close to where they finished last year. The overall decline in our metal coatings margins was due primarily to lost operational efficiencies within our surface technologies plants as some had to shut-down due to a temporary loss in volume from customers. We remain committed to our strategic growth plan for the surface technologies business and driving meaningful margin improvement post COVID-19 crisis and are also seeing improving market conditions as most customers have now reopened. Our energy segment first quarter fiscal '21 revenue decreased 43.5% to $94 million, resulting in an operating loss of $1 million as compared to $12.6 million positive in the same quarter a year ago. As I mentioned previously, the decline in revenue was a result of lack of a spring refining turnaround season and delays in both shipments and service work resulting from COVID-related international business restrictions and overall weaker demand for electrical products. While our Industrial platform shops were open and working, very few crews were deployed during the normally busy spring season. In some cases, we had to get our crews home from international projects and countries that went on lockdown after crews had already been deployed, which caused additional expense and disruption. Due to the prolonged uncertainty associated with the recent COVID-19 pandemic on many of our end markets, we cannot accurately provide an update at this time to our previously suspended fiscal '21 earnings guidance range of $2.65 to $3.15 and sales guidance range of $970 million to $1.060 billion. Neither the duration nor depth of this disruption can be accurately estimated at this time. We have adjusted capital spending plans, operating plans and headcount and have taken other mitigating actions in response to the crisis. Our low debt level combined with our consistent ability to generate cash, gives us the confidence that we can manage both debt and liquidity satisfactorily throughout fiscal year '21 and beyond. We hope to be able to re-establish our financial guidance as we get to the back half of this fiscal year. In the interim, we will work to provide as much context to our outlook as possible. So in that regard, the summer is a normally slow season for our industrial platform and shipments remain slower than normal for electrical as many customers have not returned to normal operations yet. Our metal coatings business is operating at a fairly normal level, although there are restrictions in some of the states we operate in. We are also experiencing additional expense as we work to keep our facilities clean and safe so our employees remain healthy and productive. We are confident that our businesses remain vital to improving and sustaining infrastructure. So, we will use this time of global pandemic to position our core businesses to emerge stronger and better equipped to provide sustainable profitability long into the future. With that said, I'll turn it over to Phil.
Philip Schlom: Thanks Tom. I'd like to begin by also thanking our employees for supporting the business as we remained fully operational throughout the first quarter and initial peak period of COVID-19 pandemic. I'll start by discussing the first quarter of fiscal year 2021 financial results and then we'll provide an update on our liquidity, given the importance of maintaining a strong balance sheet in this environment. For the first quarter of fiscal year 2021, we reported revenues of $213.3 million or 26.2% below the prior year first quarter revenues of $289.1 million. We believe the decrease was attributable to the multifaceted impact of COVID-19 that it had on our business, our customers and our suppliers. Net income for the first quarter of fiscal 2021 was $5.5 million, a decrease of $15.8 million or 74.2% below prior year's comparable first quarter. Reported diluted earnings per share of $0.21 was $0.60 lower than the $0.81 achieved in a strong prior-year first quarter. Q1 fiscal 2021 gross margin was 19.8%, 310 basis points lower than the 22.9% in the first quarter of 2020. Q1 fiscal 2021 operating income of $14.3 million was $16.7 million or 53.8% lower than the prior year first quarter. Our operating margin for the first quarter was 6.7%, 400 basis points lower than the 10.7% in the prior year first quarter. On reduced pre-tax earnings, income tax expense of $4.7 million was $1 million lower than the $5.7 million recognized in the first quarter of the comparable prior year. However, our effective tax rate for the quarter increased to 45.8% compared to 21.1% in the prior year first quarter. The increase in our effective tax rate is associated with the establishment of reserves for uncertain tax positions related to research and development tax credits, as well as incurring operating losses in foreign jurisdiction in which we were not able to recognize the benefit for U.S. tax purposes at this time. I will now turn to the results of operations within our metal coatings and energy segments. In our metal coatings segment, comprised primarily of our galvanizing solutions, surface technologies and Galvabar businesses, we generated first quarter 2021 reported revenues of $119 million, which were $3.2 million below the $122.2 million in revenues recorded for the first quarter last year. Metal coatings segment operating income of $25.1 million was $4.3 million or 14.7% lower than the $29.4 million achieved in the same quarter last year. Segment operating margins were 21.1%, down 300 basis points as compared to 24.1% in prior year first quarter. While the galvanizing solutions gross margins exceeded 23%, the overall reduction in operating margins in the segment was due to lower productivity and higher costs of remaining open during the pandemic in the surface technologies business, which is more significantly affected by temporary closures or significant slowdowns due to the pandemic. Partially offsetting these higher costs was a favourable impact of lower zinc costs, flowing through our kettles in the galvanizing solutions business. In our energy segment reported revenues of $94.3 million were 72.7% or 43.5% lower when compared to the $167 million generated in the prior year first quarter. As Tom had mentioned our industrial solutions platform was impacted significantly as domestic and international customers shut in operations and several countries restricted travel. The energy electrical group was impacted by a lower incoming bookings and work down backlogs, while customers adapted to the pandemic. As a result of the unprecedented market conditions, the energy segment incurred an operating loss for the first quarter of $1 million, compared with operating income of $12.6 million in the prior year first quarter. Energy segment gross profit of $12.6 million was $20 million below the prior year first quarter. Gross margin was 13.3% compared with 19.5% in the prior year as a result of the COVID-related disruption in this segment. Segment operating margins in the first quarter were negative 1.1% compared to 7.5% in the same quarter last year and was mostly attributable to the loss of the spring turnarounds within our industrial solutions platform. This is a cyclical business with a typically strong first quarter that carries into June of each year and then again peaks in our third quarter. I will now turn to our balance sheet and liquidity discussion. The Company typically experiences negative cash flows during the first quarter. This year was no different. However, net cash used in operating activities during the first quarter improved $6.7 million from a use of cash in the current quarter of $11.2 million compared with our use of cash of $17.9 million in the prior period. Capital spending in the first quarter was $10.8 million, compared with $4.7 million last year. The Company continues to fund growth initiatives, ongoing safety and maintenance-related capital spend. Our net debt position at the end of the first quarter was $219 million, $78 million or 26% lower than the $297 million at the end of the prior year first quarter as we continue to generate strong cash flows from operations. In light of COVID-19, we assessed our liquidity position and while not all inclusive, we have taken the following actions: we did not draw down on our revolver to place cash on our balance sheet; we did temporarily suspend payments on our revolver; we elected to accumulate cash in the quarter, which we are now utilizing to repay borrowings; we did not repurchase shares in the quarter, however, we intend to again evaluate share purchases in quarter two, under our current share repurchase program; we continue to pay dividends to our shareholders and we remain diligent surrounding customer credit and collections. As a result of our diligence, we have been able to navigate through our traditional negative cash position in the first quarter and COVID-19 without any significant deterioration to our strong balance sheet. We remain well within all boundaries on our existing debt covenants and continue to reduce uncertainties within our balance sheet and evaluate our capital structure. I'll now turn it back to Tom for his closing comments. Tom?
Thomas Ferguson: Thanks Philip. Just as I did on our previous earnings call, I want to share with you some key indicators that we are paying particular attention to. For the metal coatings segment, fabrication activity remained solid in Q2, but we are seeing some reports of steel shortages. Within our galvanizing business, we are carefully tracking steel fabrication and construction activity. Zinc costs remain low and the cost of zinc in our kettles continues to drop. For surface technologies, we are primarily focused on getting back to normal production levels with both existing and new customers by the end of Q2 fiscal '21. Within the energy segment's industrial platform, we are seeing the fall turnaround season beginning to fill in, particularly in international markets. We are carefully monitoring the COVID situation in the states with large refining capacities domestically. Currently, we are in the normal seasonally slow summer months and still have travel restrictions in some countries. For the electrical group we are carefully tracking proposal activity and expect bookings to increase in the second quarter and beyond, which should provide sufficient backlog for many of our business units in the back half of the year. For tubing and lighting, which make up the small portion of our electrical group, we are looking for signs of life in rig activity, but have already taken significant furlough actions. Finally for corporate, we have very good cash management processes and have further tightened our oversight on cash flow indicators and customer credit. Currently, we are not seeing any slowdown in customer payments. Post COVID-19 crisis, we remain committed to our growth strategy around metal coatings and achieving 23% operating margins, including a growing contribution from surface technologies. We believe galvanizing would tend to run to the high end, if not above the 23%, while surface technologies should be able to consistently generate 15% to 20%. We were initially operating surface technologies somewhat separate from galvanizing to ensure the new facilities could be incubated without distracting the galvanizing team. They are now operating fully on Oracle, which allows full integration with the galvanizing plants fairly easy. We believe the integration will now allow the outstanding galvanizing resources to be brought to bear to increase sales penetration, drive operational efficiencies and leverage the seasoned business development resources that they have. For energy, we will continue to focus on our core businesses and seek to divest things that are not core to our future strategic interest. Most of our energy business units are experiencing a relatively modest level of disruption due to the COVID crisis and we are taking the opportunity to rightsize operations and align them with expected demand post-crisis. We have run numerous models around downside and even severe downside scenarios and do not currently see anywhere, whereby we do not maintain a reasonable level of liquidity throughout the year. The diversity of our customer base and scale of our galvanizing operations are providing a very sustainable level of income and cash flow. Our electrical businesses for the most part have fairly good backlogs to work with, but customers are delaying deliveries to some extent. While our industrial platform carries a certain amount of fixed cost, the majority of their craft labor pool is variable. And finally, our cash management discipline, credit line with first tier banks, low debt levels and ability to react quickly to the changing market dynamics positions us well during these uncertain times. We will remain active in the area of M&A with activities that support our strategic growth initiatives, particularly in metal coatings. While pandemic-related deal travel was restricted in Q1, we do see improving conditions and have an active portfolio of opportunities to pursue. With that we'll open it up for questions.
Operator: [Operator Instructions] Our first question will come from John Franzreb with Sidoti & Company. Please go ahead.
John Franzreb: I'd like to start with the energy segment. Last quarter you indicated that there were jobs that were being deferred into second quarter and actually also went to third. I wonder if you can give us an update on those jobs that was deferred from Q1 into Q2, are they still happening? Also is your expectation that with those jobs being pushed to right that energy revenues will be kind of flattish sequentially? And if so, have you taken enough cost out to keep the business in the black?
Thomas Ferguson: Yes, you got a couple of things there, John. One, we did have on the industrial side, there's only a few active projects going on right now, because of continued travel restrictions in a lot of areas. And places like India, haven't really - we're hoping that by the end of the summer, they open up. There's some activity there that we would hope to be able to deploy to. So, it has pushed to the right. Its kind of pushing to the end of Q2 and as I mentioned, for Q3, for the fall season it is starting to fill in, particularity internationally. Domestically, with the rise in COVID cases we are watching carefully to see what refineries decide to do for the fall. So we don't have any real good indication of which way that's going to go domestically, but good news on the international front. On the electrical side, they've had orders pushed in terms of deliveries, because customers aren't deploying inspectors. They aren't - customers aren't making decisions on final - accepting final deliveries, things like that. So that continues to push. So I think I haven't - I should have, but maybe Philip knows, but sequentially for energy I think we'll do a little better than Q1, but versus prior year probably a little lower than prior year on energy side. And we have - we're still looking at cost and we're still realigning things. We've taken quite a bit of action, 10% to 15% on the headcount side in energy fees, some on the surface technology, mostly furloughs, while we wait for kind of large customers to reopen their plants, which is starting to happen. So, we feel fairly good on the metal coatings side, particularly surface technologies by the end of the quarter, I think things would be fairly normalized again. That's the indication we're getting from customers that they're starting to ramp their production back up in some key areas. And we will continue to look at the cost side, if we don't see the backlogs improve, so we are committed to do that.
John Franzreb: And you mentioned the metal coatings is operating at, I think you said normal or close to normal levels, what's driving that? Can you just provide some color on what's good in metal coatings?
Thomas Ferguson: I think on the galvanizing side, it's that diversity of locations and customer base, over 3,000 customers that we deal with. So, it's kind of a normal season. We've got areas that are slow and other areas that are really, really active. And here's the good news. The fabricators right now are pretty busy and continuing on with projects, I noted. Their biggest concern is access, steady access to steel supply. On the solar side, we've seen really, really good activity there. That's - those projects are continuing, and we've got a good position there. And then we've seen good activity in the transmission pole market. So, where it's fallen off is things that we don't - I mean, they're a decent part of our business, but stadium construction and that kind of thing, walkway rails, and that stuff is a little off and so a real mixed bag. But overall, we feel pretty good and the customers are saying, as long as they can get steel, their projects are going to continue. Solar is going to continue. So highway, bridge, at least in most parts of the south, is continuing. So - and that's our concentration of galvanizing plants is sort of somewhat to the East, but mostly in the Midwest, Upper Midwest, over into the Rockies, out to Nevada and Arizona and then down through the Southeast in Texas. So, we're just positioned pretty well where most of those states, even though they're seeing, like here in Texas, a rise in COVID cases, the - you still see tons of road crews out there. And most cities and the states are repairing stuff and continuing on with projects, while there's still not tremendous activity on a lot of cars on the road. So, those things - that's why we're fairly normal, I guess, you'd call it.
John Franzreb: Just to follow-up on that last thought, Tom. I'm based in New York City. I don't have a good sense of what's going on down there with the rise in COVID cases. Is there any discussion or thoughts about potential business disruptions? Or is it more likely that it seems like you and your customers are going to push on through this?
Thomas Ferguson: Yes. I think we're seeing and we're going to push on through. The one concern would be if, if we see in what's normally the busy driving vacations summer months, if the refineries aren't seeing that demand for gasoline grow, then do they pull their turnaround, that's really our only concern. The rest of it, businesses are focused, they are moving forward. Construction is going on, you see crews everywhere. So we feel pretty good about that we are in the states we're located in. So it's maybe kind of peculiar to us, but it's our geographic positioning for galvanizing that makes us feel [indiscernible].
Operator: Our next question comes from Noelle Dilts with Stifel. Please go ahead.
Noelle Dilts: So I just had a few questions on - kind of more focused on metal coatings. You had noted - you noted that the pricing was pretty strong in the quarter. So I was sort of curious if there's any way to kind of parse out for us what volume looks like versus price? Just trying to get a sense of how that trended. And then secondly, just given the differing margin profile of galvanizing versus surface technologies, if you could kind of review how the size of those two businesses at this point?
Thomas Ferguson: Yes, I think when you look at our volumes, they were pretty good and price was off just slightly and that's partly just given the continued low level of zinc costs and so we've adapted that a little bit in a few areas. We have some pricing agreements that are tied to the LME. So, that's where we had some price reduction. We are talking I think 10 or 20 basis points, it just wasn't that much. So we feel like prices held very nicely in the majority of our business. Volumes off just slightly, most of volume was off in surface technologies. But I got to be careful there because we had just acquired some of those sites at the beginning of last year, but even the sites that we already own, that's where we did have a fairly significant reduction in business and that's mostly the kind of things that aircraft interior parts that we powder coat, truck and trailer components that we powder coat, bed frames and things like that, that's where things were off. That's where the volume was off. So it was more on the powder coating plating side. We see that picking back up now. And as those customers have gone back into production, not at the same levels they were pre-COVID, obviously with kind of the lower demand for aircraft interior parts and stuff like that and truck and trailer was already off anyway. And so that's where we've been off, everywhere else is pretty normal demand on galvanizing and then on the surface technologies. It just represents a bigger piece of that business, but it's still - 5% to 7% of overall metal coatings volume is surface technologies.
Noelle Dilts: Okay.
Thomas Ferguson: Does that help?
Noelle Dilts: It did. And then just kind of sticking with metal coatings on the margin profile. Margins came in a little bit better than you were expecting. Can you just speak to how you're kind of thinking about that coming in - heading into the second quarter, given, again, that the lower in zinc coming through, volume coming back a little bit. Just kind of curious how you're thinking about that heading into the second quarter?
Thomas Ferguson: That's a great question because I'm so pleased with what that team's done. I don't want to get big heads but using the digital galvanizing system, DGS, we've got to kind of touchless receiving in most of our plants. So we don't have to be face-to-face contact with drivers and delivery people and suppliers. So that's - it's interesting. It made us more efficient, because you don't have all that interaction going on. But more importantly, we had record zinc productivity through our kettles, which I attribute to the focus of our teams. It's interesting as even though they're trying to operate very safely and maintain their distance as much as possible for COVID reasons. It's made them very very - it's made us safer, which is beneficial. And it's also, we've had access to in some cases better quality of labor, which has helped us, whereas a few months ago we were scrambling to hire anybody that could sign an application quite frankly. So our labor is improving. The quality of our labor is improving and then DGS has given us that information set that allows us to react quicker to chemical composition inside the kettles and the acid tanks and things like that. So I think we can sustain these margins. It's - you know, our focus will be on maintaining price by providing outstanding service, which DGS is helping us do. Our rebuilt sales force that we put in place a couple of years ago under this management team is doing a great job, they cannot get face to face with customers, but they are in constant contact and so I feel good about it. I would hope that as we get through the second quarter, we may even be able to drive those efficiencies and productivities even a little bit better as the cost of zinc keeps coming down in our kettles as well.
Noelle Dilts: Two last questions. First, it's been a few years since we've been talking about infrastructure stimulus, it seems to kind of be back in focus with the elections. Could you just remind us where you feel you have the most exposure to a potential infrastructure bill?
Thomas Ferguson: Yes I think when you look at our plants in the Upper Midwest, so up in Indiana, Illinois, Minnesota, Wisconsin, those states are some good opportunities, just the bridge and highway. But almost throughout where we operate, bridge and highways, like here in Texas, need a lot of work. They're getting attention, but we've got ancient bridges out there in a lot of areas. So any kind of help from an infrastructure build that focuses on bridge, highway roads, not sure - airports would be great because they tend to use a lot of galvanized steel, but not sure that - where that might play. And then in a lot of the water system stuff, not tremendous activity there, but somewhat. So I'm thinking that - well, in transmission distribution, let's say, our grid is - still needs a lot of work, particularly - and the other place is getting Wi-Fi to a lot of these remote areas so the poles that go into that and is all good activity. And that also helps our electrical side because you get some data centre work out of that as well. So that's where we'd be looking for it, bridge, highway, T&D, in terms of the grid and in terms of building out that Internet Wi-Fi network.
Operator: [Operator Instructions] Our next question will come from DeForest Hinman with Walthausen & Company. Please go ahead.
DeForest Hinman: You talked a little bit about the turnaround activity, quotes going up, some of the crews getting booked internationally. Can you just give a little bit more color in terms of what that means? I know COVID is still a concern of everyone. Did the refiners or the projects become a necessity in terms of them being done, like it's a critical thing that needs to be done so that work can be done if social distancing is maintained and a certain amount of protective equipment is in place and a scheduled turnaround is, in fact, high probability of becoming revenue? Or is it still up in the air in terms of being able to get those crews on the ground and do the work?
Thomas Ferguson: Yes, I think a couple of things there. One, they do have - the things we work on, coker drums, reactor vessels, that's where our critical service value-add is really, where our technology comes into play in a big way. These are huge investments for refiners and oil companies, and so they are going to maintain them. They also can become safety hazards at a certain point. So they're definitely going to maintain them. And the question is - and quite frankly, a lot of them had been pushing their turnarounds on some of these components for a while already. So I think we're in a situation, it's only a matter of are they going to pull them down in the fall or are they going to wait till the spring? It's going to - and I think in most cases, it's one or the other. There's one school of thought that says, well, why not pull them down? Demand, low so they don't need the production. So pull them down, maintain them, they're good for three to eight years after that. So why not do it? On the other hand, it's like, well, but if you're margin constrained anyways, why not wait and save the maintenance cost? So those are the two schools of thought. I think every oil company's probably making those decisions around their particular set of conditions. Internationally, our only concern is where we do a lot of work, up in Canada, down in India, for instance, over in Southeast Asia, it's just a question of whether they allow the travel. It's - the one difficulty is on some of these sites, where they're not in highly populated areas, they have to have work camps. And so obviously, with work camps, you get concerned about the social distancing and the number of people in effect a Quonset Hut. So it's just tough. We're - I wish we could give you more color on it. We're seeing good quoting activity. We're seeing lots of the upfront work that usually goes on, that would preclude a good thought, but that's just kind of where we're at. I think that's about as much color as I can give you. We're - we should know - usually these things, if they're going to go in the fall, we'll know by the end of July or middle of August, when they start doing the engineering work and getting us to - a lot of these jobs takes two to four weeks to do the prev work to get the equipment ready and all that. So, we anticipate within - over the next four weeks or so, we're going to have a much better idea of how that falls stacking up.
DeForest Hinman: And to some extent, does that give you more confidence if that does firm up with the ability to go?
Thomas Ferguson: Absolutely. We already feel fairly good about the international piece of the fall - for the fall. We're really just monitoring this - the domestic piece, because that's where we have a lot of resources and assets to get deployed.
Philip Schlom: I think - just to add something on there, Tom, too. Tom spoke about our workshare program, furloughs and risks. So, we had a - had taken personnel actions to put some people on the sidelines during COVID, and we pulled some of those employees back as the quoting activities come up.
DeForest Hinman: And I think you answered this question, but just so we're clear. On the metal coating piece, it sounds like zinc side, really good towards the higher end of the margins. Surface technology was not running some of the facilities in the first quarter, but the activity's ramping up and now they're running, zinc costs falling, should we be thinking that margins are going to be even better sequentially in the second quarter?
Thomas Ferguson: That's a tough one to call because you got a lot of moving pieces. Volume can move pretty easily on us. And even though we can take out, we can adjust our direct labor, the fixed costs are still there. So, if we stay pretty sequentially flattish, I'd probably feel pretty good with zinc costs continuing to go down, productivity continuing to improve, but probably running into some price pressure. It's just - we've got a lot of customers out there that we want to take great care of. It makes - make sure we help them survive. So I'd anticipate a little more price pressure going forward, but we'll continue to drive productivity.
Operator: Our next question is a follow-up from John Franzreb with Sidoti & Company. Please go ahead.
John Franzreb: Just firstly, on the tax rate. Can you talk a little bit about what we should expect in the current quarter into the balance of the year?
Philip Schlom: Yes, in the current quarter, you saw in my remarks that the tax rate was significant because of the reserves we took for the research and development tax credits. When you look at the whole year, we should be pretty close to our statutory rates, 21% federal and call it, 3% international - international, but state rates. So somewhere in that 24% range is our best estimate at this point.
John Franzreb: And when we think about the balance sheet, can you talk a little bit about what your thoughts are as far as the revolver, continuing the dividend and capital spending for the balance of the year, just some more balance sheet discussion?
Philip Schlom: Yes, let me take that backwards. On capital spending, we have several large growth initiative projects that we've been funding. So, we're going to be in the same neighborhood as we have been, maybe slightly higher this year on capital in the low to mid-30s as far as capital spending. When you look at our revolver, we continue to pay down our debt. We have our senior notes coming due in January of next year, and we sit on floating LIBOR right now. So we're borrowing somewhere in the 1.4% to 1.6% rate on our revolving credit facility. But we are looking at that mix between fixed and variables as we look forward. So we're evaluating our capital structure right now.
Thomas Ferguson: And it's likely that we'll replace the bonds that come due in January with a fixed piece. So --
John Franzreb: Okay. And the dividend, do you feel that's secure?
Thomas Ferguson: Yes, we like paying the dividend. If you kind of go through it, we're funding our own infrastructure to continue to improve our competitiveness. Paying a dividend is very important to us. Then we can pay down some debt, and we are going to look at reducing dilution by buying in some stock based on offsetting our employee stock programs. So, that's kind of our priorities.
Operator: Our next question is a follow-up from Noelle Dilts with Stifel. Please go ahead.
Noelle Dilts: Just a housekeeping question. First, I was curious how you're thinking about CapEx for the remainder of the year as well as the tax rate?
Thomas Ferguson: Yes. The CapEx, we're going to run kind of mid-30-ish with about $24 million normal maintenance and safety capital and about $10 million to $12 million of growth capital on things that we'd invested in or committed to invest in coming into the year. So those were already underway when COVID hit. We still feel good about those investments. It's a sinter plant in Houston, which is just great hot-dip or - I mean, great galvanizing work for us. And then we have to move our facility to expand it, which is good news over in Poland to house our resources and to upgrade our technology while we're doing it. So those two were growth projects that were already underway coming into the year. And then we're expanding kettle capacity in a couple of plants that have more opportunities than they've got capacity right now. So, that's kind of how that sits and then Philip, on the tax rate?
Philip Schlom: Yes, on the tax rate, I guess I'll just explain it to John, but I think we're going to - we're looking at the full year similar to your recent estimate at 23% to 24%. As we go through the rest of the year, the impact we had this year - this quarter, from our tax items will balance out over the course of the year.
Thomas Ferguson: That's right. It should be one quarter adjustment to catch up.
Noelle Dilts: Great, thank you. Sorry to miss that.
Thomas Ferguson: All right. No problem.
Operator: Our next question comes from Sam Rebotsky with SER Asset Management. Please go ahead.
Sam Rebotsky: I've been a shareholder of AZZ since it was Astec, so seen a lot going on. Tell me your backlog, which has reduced 31.6%. Is there - what about - how much are you bidding for out there and is there - and the competition of the prices lower on the bids from your backlog currently?
Thomas Ferguson: Yes, a couple of good questions there. One, bidding activity is pretty good what - on the electrical side, which is where we would look to rebuild backlog. And it's pretty good. What we're not seeing is projects close because a lot of these engineering firms are still working remotely and on some of these big projects, my perception is they - eventually, they got to get the team in a room to make multimillion-dollar decision, not just about buying our equipment, but about moving some of these projects forward. So quoting activity is good. And particularly on a year-over-year basis, we are not - and part of what's coming down in the backlog is that China stuff that's shipping and will continue to ship which, quite frankly, is relatively low margin. So we're hoping to - so actually, on the pricing side, we're hoping to replace that work with higher-margin backlog as some of these electrical jobs finally book. We're not losing that many. We're not kind of winning our normal share, we just aren't seeing enough close in orders placed. So - but the activity is there, so we feel pretty good about it.
Sam Rebotsky: So, but the prices that you're bidding are not lower than the other competitors because you can bid in order to be profitable and you're not matching any lower costs. Is that's a fair assumption?
Thomas Ferguson: It's somewhat fair. We've got these several different business units. And so on the oil patch side, we are absolutely trying to bid to a lower market price because of the lower demand. That's a relatively small piece of our business, but it was relatively high margin. so it has an effect. On the electrical side, if you look at enclosures and switchgear, generally, the price levels are holding, partly because the underlying raw material costs are - have remained pretty stable. So generally, I'd say our prices, where we're bidding, are holding up reasonably well. We do adjust our price if - on projects that are attractive to us. And this is where I'm hedging a little bit because some of our business units will bid a little lower to get load. If they look out in the fall and say, we just don't have enough demand, we don't have enough load to fill our capacity, they will - on a project basis that fits their need, they will drop the price to try to make sure they win that. So we're battling this out in about a dozen different business units. So when I talk about prices being fairly stable, I'm talking about the aggregate. But we got a dozen different battles going on every day right now. So we do allow some flexibility to try to fill in gaps in their demand and to ensure that they take some strategic projects with customers that we either want to break back into or that we've had long-term strong relationships with. So in the aggregate, we're good, but we're battling where we need to, to with the price levels we have to match to.
Sam Rebotsky: Okay. Now as far as the number of employees at the present time in July, has that increased from May 31? And where do we - and I guess, it's all dependent. Is it dependent on COVID or getting contracts? So could you sort of compare the number of employees that you have that are not furloughed as of today compared to the May 31 period?
Thomas Ferguson: I'm not sure. I'll give you a general sense because we were taking actions during Q1, and so I'm just struggling to compare that number. But we probably - 70% of the people were furloughed. So available to be called back in August as we see demand filled in and projects fill in, and we have been calling some of those back early, where plants needed them and businesses need them. We maintain our core group on the industrial side because that's engineers, project managers, quality people, very seasoned folks. And so we need them to be involved in the quoting process to ensure that fall fills in. So we're down - including furloughs, we're down about 10%. But we would anticipate up to 200 to 300 of those, hopefully, being called back in surface technologies, electrical and industrial as we see that you know the third quarter start to fill in with backlog and hopefully earlier. So appreciate it, Sam.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Tom Ferguson for any closing remarks.
Thomas Ferguson: All right, thank you everybody for joining us this morning. We will attempt to provide more color perhaps on a more regular basis as we go forward between now and the next earnings call as well as talk more about some of our strategic activities. So, I'm hoping that you will hear from us whether press release or setting up an interim call if we have the opportunity before we talk to you at the end of the second quarter. With that I appreciate your support and listening. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.